Operator: Ladies and gentlemen, thank you for standing by and welcome to the Evolution Mining March 2018 Quarterly Results Teleconference. At this time, all participants are in a listen-only mode. [Operator Instructions] Please note that this conference is being recorded today, Thursday, April 19, 2018. I would now like to hand over to your host today, Bryan O'Hara, General Manager of Investor Relations. Thank you sir, please go ahead.
Bryan O'Hara: Thanks, John. Good morning and welcome to the Evolution Mining March 2018 quarterly conference call. This morning on the call, we have Jake Klein, Executive Chairman; Lawrie Conway, CFO and Finance Director; Bob Fulker, Chief Operating Officer; and Glen Masterman, VP Discovery and Chief Geologist. The first quarter of 2018 has seen significant shape the way from the low volatility environment the global financial market to become a custom to in recent years. And with this changing macro backdrop is the only evidence of fund flowing back into gold and gold equities as site asset class. With Evolution speculating cash generation per ounce, the reputation for consistently delivering to guidance and long mine from a diversified asset portfolios, we have well placed the benefit from this renewed interest in the gold sector. From an investor in guidance perspective, we’ve got a healthy months coming up including marketing in Sydney and Melbourne which is off today, in Macquarie’s conference in Sydney in early May, the demo conference in Florida starting on May 15, and roadshow through Hong Kong and Singapore also in mid-May. Thanks and I’ll now hand it over to Jake.
Jake Klein: Thanks, Bryan. Good morning, everyone, and thank you for joining us. We know it is a busy morning. It’s very pleasing to be able to deliver another excellent quarterly report. As you can see from this report, our business is in very good shape. Since Evolution is formed in November 2011, we have had a very clear strategy of developing a low cost profitable different paying globally relevant mid-Tier company that will prosper through the cycle. I am proud that again this quarter we are clearly demonstrating that we are successfully executing this strategy. Notwithstanding this we know that it is a journey and we know that we are not there yet but the signs are positive and we are definitely headed in the right direction. Highlights that stand out this quarter are, our all-in sustaining costs for the March quarter were a record A$768 per ounce or in U.S. dollar terms $604 an ounce, making us one of the lowest cost gold producers in the world. With the rising global pensions and increasing jurisdictional risk, Australia is undoubtedly a great place to own low cost ounces. Our EBITDA margin per ounce is a sector leading 54% per ounce. Very importantly, these high cost margin, low cost ounces are being converted to cash in our balance sheet which increased by A$44.5 million after paying a fully franc dividend of A$59 million in the quarter. This is our tenth consecutive dividend we have paid and our highest yet. We continue to believe that we need to work hard to win back the trust of generalist investors and the best way to demonstrate this is to consistently show as we have again this quarter that Evolution is a sustainable, profitable dividend paying company. The release this morning of our annual mineral resource and reserves statement shows the success we have had in replacing and adding to both our resource and reserve based even after accounting for the depletion of the ounces produced in 2017 and sold in the May. Our gold resources at 31, December 2017 stand at 14.24 million ounces, up from 14.18 million ounces. A clear highlight with Cowal success in adding over 1 million ounces of resource, as we start to demonstrate the quality and scale of gold and diamond at this cornerstone assets. Our gold reserves increased to 7.05 million ounces, driven primarily with the maiden Reserve at Marsden being included which represents an interesting long dated option for Cowal. And our shorter live assets, Cracow and Mungari, we were not only able to replace depletion but also add ounces to their reserve base which we recognize as also being very important. I also note that we continue to calculate our reserves of a very conservative gold price of A$1,350 an ounce. It is also very pleasing to be today announcing a further improvement to our FY 2018 guidance. We now forecast our Group production to be between 790,000 and 805,000 ounces and more importantly, we have reduced our all-in sustaining cost guidance to A$780 to A$820 per ounce. Our new COO, Bob Fulker officially joined Evolution in February. Bob is off to a flying start and has been visiting our assets multiple times in the short time he’s been on board. I was traveling with Bob last week to one of our sites and I know he shares enthusiasm and optimism for our future. With that, I’ll hand over to Bob.
Bob Fulker: Thanks, Jake, and good morning, everyone. It’s a pleasure to walk you through my first quarterly operation highlights since convincing in the role as Chief Operating Officer in the mid-February. As always I’d like to start with safety. Our continued focus on leading indicators to improve our safety culture is paying dividends. At the end of the quarter, our twelve month moving average TRIFR stood at 6.3, and we have reduced as a very light to two. Moving on to the operational update, if you turn to Page 5 for Cowal and Mungari results. Cowal had a good quarter producing over 62,000 ounces at all-in sustaining cost of A$999 per ounce. However throughput rights and grade contributed to this outstanding results. The mill set a new throughput record for the second consecutive quarter with a throughput of 1.99 million tons, 50,000 tons higher than last quarter. In late March, we hosted invest side visit the Cowal. Thank you for all those who attended. The highlight primarily was ability to show the stage hedge cut back and the Float Tails Leach projects both in full swing and progressing according to plan. Mungari had another solid quarter producing 30,000 ounces at all-in sustaining cost of A$1,153 per ounce. Net mine cash flow improved to A$8 million and it is expected to increase in the June quarter as a strip ratio in White Foil open pit declines. The pit continues to perform well with recoveries increasing to 95.2%. Last week, Mungari experienced a series of seismic events. Standard safety produced saved us and we evacuate all our people safely, we assist the situation. There was no significant damage caused to site infrastructure and the mining operation resumed once we determine that the site to do so. We now turn to Page 6 for Mt Carlton and Mt Rawdon. Mt Carlton produced 26,000 ounces at an all-in sustaining cost of A$445 per ounce. Both the mine and plant performed well. Net non-cash of A$16 million was lower than the December quarter, due to shipment timing with heavy rain restricting access to start in the like quarter. It is expected that this will recover in the June quarter by increasing shipments size. Mt Rawdon got back on track during the quarter and produced 30.6000 ounces at an all-in sustaining cost of $536 per ounce. Net mine cash flow was $16 million. The mine is expecting another strong quarter to finish the financial year, however full year production will luckily be below the FY 2018 guidance range of 105,000 to 115,000 ounces. A smallest slip in the West during the quarter which prompted a review of the grant support regime in this area. Production isn’t expected to be impacted or that productivity in this area might slow. On to Page 7 for Cracow and Ernest Henry. Cracow had another consistent quarter with 20.5000 ounces produced at an all-in sustaining cost of A$1,210 per ounce, delivering A$9 million in cash flow. The significant addition of over 60,000 ounces in reserves post inflation to the 250,000 ounces has extended the mine life and should ensure Cracow continues to be a strong contributor to the portfolio going forward. Ernest Henry produced 23,000 ounces at a negative A$510 per ounce all-in sustaining and cash flow continues to be very strong with 54 million produced during the quarter. Mine and mill produced production were in line with the plan. In summary, a good quarter with the Group producing a 191,000 ounces at a record low all-in sustaining cost to A$768 per ounce. Our major projects progressing according to plan and have drill programs continue to have lost our assets. Thanks and I’d like to hand it over to Glen.
Glen Masterman: Thank you, Bob, and good morning. As Jake mentioned a few minutes ago, a clear highlight in the quarter was the growth in mineral resources at Cowal. The result includes over 800,000 ounces delivered by joining programs on the Galway Regal E46 complex and at E41. Following on from this very pleasing outcome, we had continued step up joining at 841 West and further extended our run a positive result. The new drilling includes identification of design and structurally controlled mineralization as illustrated in figure 2 on Page 11 of this morning’s quarterly report. What’s interesting is that we’ve observed the same fault on adjacent sections where it appears to be influencing grade distribution in a similar way to the full plus grams over 19 meters in how 2011. We’ll continue to explore the significance of these relationships in follow-up drilling along with commencing infill work to confirm continuity along 150 to 200 meters on at the near surface resource at E41 West. At Galway Regal E46, drilling and review work has identified new opportunities to the along strike of the 600,000 ounce maiden underground mineral resource. A program of drilling will be designed to test the possibility of further extending resources along the GRE46 corridor. At Mungari, full reserves we received for the first phase of infill drilling beneath the north end of the White Foil pit, further infill work will be required to upgrade classification resources to indicated confidence. The development commenced during the quarter on extending the decline at Frog’s Leg to establish an underground drill drive, after White Foil planed which will target the structure 250 meters beneath the base of the existing workings. The aim of the program will be to understand the mineralization potential following a data review as a three day geologic model. Drilling is expected to commence in the September 2018 quarter. With that, I’d like to hand over to Lawrie.
Lawrie Conway: Thank you, Glen. Good morning, everyone. It’s a pleasure to be out and provide an update on the financial performance for the March quarter which was another pleasing result due to the strong operational performance as outlined by Bob. The summary of the financial is provided on Pages 8 and 9 of the quarterly report. As mentioned all-in sustaining cost was a record low A$768 per ounce. What can be missed in this number is the all-in sustaining cost for five 100% owned assets reduced from A$991 to A$968 per ounce. Four of the assets reduced their all-in sustaining cost. And at Cowal, the higher all-in sustaining costs was driven by planned high sustaining capital and plant maintenance. Mine operating cash flow of A$134.8 million was down from the December quarter to A$204.7 million. This was due to A$9.5 million from timing of lower gold sales net of a high gold price, this will be received in the June quarter. Copper revenue was lower by approximately A$12 million due to lower realized price and lower copper volumes. For the copper volumes, about A$2.5 million is due to light shipments at Mt Carlton and this will be realized in the June quarter. Our operating costs related mainly to the major shutdown at the Cowal processing plant. Our operating EBITDA margin excluding as of May improved a gain in the quarter to now be at 54% year-to-date to March. This is up 8% from FY 17 full-year margin of 49% with no real movement in achieved gold price but there has been a 16% higher achieved copper price. All our operations continue to be cash flow positive after meeting the capital investment commitments of A$63.5 million. We expect sustaining capital for the full year be in the range of A$90 million to A$100 million, our major project investment will be in the range of A$170 to A$180 million. Therefore, we expect capital invests in the June quarter of A$25 to A$35 million sustaining capital and A$50 million to A$60 million from major projects. Net mine cash flow for the quarter was A$111.4 million and it is another indicator of the benefit of the diverse portfolio where improvement in cash flow at Mt Rawdon, Mungari and Cracow offset the impacting ramp-up of capital investment at Cowal and the impact of shipment delays at Mt Carlton. Ernest Henry was a gain consistent with cash generation of A$53.8 million for the quarter and over the A$160 million year-to-date. Group cash flow of A$103.6 million was approximately A$28 million higher than the last quarter. We paid our interim dividend of A$59 million which now brings our returns to shareholder’s dividends to A$230 million with A$173 million returned in the last two years. Cash on hand at the end of the quarter was A$208 million reducing net debt by 19% to A$187 million. During the quarter, we renegotiated our foreign debt facilities. We took the opportunity to improve our flexibility and liquidity on the balance sheet by increasing the revolver facility to A$350 million and a profile of the amortization return line facility. Complacent to term line facility however remains unchanged at October 2021. The renewal of the debt facilities will realize lower financing cost to be over A$6 million over the next three years. With that, I’ll now hand back to Jake.
Jake Klein: Thanks, Lawrie. Our business strategy and approach remains same as it has been since we set out on the journey of building this business seven years ago. We passionately believe in it. We want to build a gold company that prospers not only when the gold price is going up but when that prospers through the cycle. A consistent and focused strategy that has been rigorously implemented and that we are not going to deviate from. Today, we are highly profitable dividend paying globally relevant, low cost mid-tier gold company. This is a company in great shape. At Evolution, we believe there is more, more efficiency gains, more productivity gains and more ounces to be discovered. With that, Sean, can you please now open the lines for question?
Operator: [Operator Instructions] The first question comes from line of Michael Slifirski from Suisse. Your line is now open. Please go ahead.
Michael Slifirski: Hey, thanks very much. I have got three questions and all really focused on resource segments. First of all, with respect to milestone, milestone begins reserves there, are not lot of grade but where does that in your conceptual thinking in the usage of more than enough from or in that region anyway, so do you have a view as to when you might actually see that part of the schedule?
Jake Klein: Thanks, Michael. Good morning. Great, you’ve arrived Sydney safely.
Michael Slifirski: Thank you.
Jake Klein: I am thinking at the moment with milestone given its predominantly copper 70% of the deposit relates to, of the revenue base would be copper, you need to reconfigure the Cowal plants. So that would fit at the end of the mine life of Cowal, the gold, the current planned gold mine life of Cowal.
Michael Slifirski: Okay. Thank you. Secondly, with respect to Mt Rawdon, just interested in what the prospectivity is there particularly given that the resource this year declined by more than mining deflation, so interested whether you still see prospectivity the change to in future to offset deflation whether this year’s deflation or adjustment exceeding deflation was just one-off?
Glen Masterman: Michael, it’s Glen and I’ll respond to that question. What we’ve done at Rawdon in fact in the last twelve months a number of new targets had developed but inside the pit and outside the pit. So we’re going to be really working hard with the drill bit on the course of the next 12 to 18 months to sort of take back some of that loss ground in the reserves. So we will be looking to improvement those programs coming into the next financial year.
Michael Slifirski: Got it. But the evidence of targets there that could contribute assets going forward?
Glen Masterman: Yeah, that’s correct. We’ve identified a target to the west of the pit, so just at board of it by several hundred meters. We also have targets that will be drilling deeper but from within the pit.
Michael Slifirski: Okay. Thank you. Then finally with respect to Mungari, all freaking to look that very, very large over to regional resources that you’ve got, interested in way that’s thinking now strategic – what you are thinking is strategically with respect to the moment at least the lack of significant progress with the process like underground?
Glen Masterman: It’s Glen again Michael. So I think it’s – what we’ve done this year is we’ve actually approved additional budget into both the discovery program and resource definition drilling programs. And I’ll start with the resource definition, primarily what we’ve been idle to do is identify new target area deeper in the Frog’s Leg vine system. And as I mentioned earlier, we’ve started work on extending the decline to establish a drill position from underground, whereby we’ll be testing the tension for extension of minimization dated beneath that now I am working. The other piece I guess in terms of event and mine is that we’ve identified the possibility of what form of mineralization to extend to the north of the pit boundaries. So we’ve done some preliminary work during the quarter and the indicators are that’s positive and will be following-up with that with additional drilling later this quarter and into the next financial year. In sense of the overall regional package at Mungari, the discovery of hybrid vine such as Frog’s Leg remains a really key priority for us. To that effect, yeah, we still have well over 30 targets in a pipeline that the highest priorities are the types of targets that can deliver that outcome to the business. So again we will be advancing exploration aggressively along as one is that on a continuous basis going forward.
Michael Slifirski: Let me sort of follow-up to and maybe to Bob in terms of that large regional resource and how you think about in terms of what could be done to plant, able to deliver the high grade placement closely, what would be required to at the plant, so you could – it continued long term business on that regional resource?
Bob Fulker: Hey, Michael. Thanks. Can I take that on and come back to you because already I don’t have that level of knowledge at this point in time.
Michael Slifirski: No problems. Thank you.
Operator:
. :
Paul Hissey: Yeah I think that’s me, it’s Paul from RBC. Just a couple questions on the quarterly metrics here, obviously you mentioned the timing of the shipment around Cowal and the A$350 million, the 350 bucks enhanced cash adjustment,, so simplistically on the assumption as a catch up of all of that in the second quarter would expect I guess just a mechanical additional of 350 to the cash cost so that operation in the next quarter up?
Lawrie Conway: Yeah, Paul, Lawrie here. You will say – not all of that because there are also adjustments that depending on when I finish the June quarter both between the concentrate and the doré but we do expect in the order of A$10 million to A$12 million of additional cash coming through to Mt Carlton in Q4 from July shipment.
Paul Hissey: So we call the normalization is probably a better price. And then similarly just at Mt Rawdon, the 490 of stock adjustments there, obviously mine are lot more than you treated in the period, just a little bit more color on the mechanics of that adjustment took place?
Lawrie Conway: Yeah. Math on deep mine a lot more than I processed at 1.4 million tons mine on the process. That will narrow in Q4, not only the mill but we would say that in Q4 Mt Rawdon’s all-in sustaining cost will be somewhere between A$700 and A$800 an ounce, so you will see a normalization on that inventory adjustment coming through for Mt Rawdon in Q4.
Paul Hissey: And is that just the function of I guess a big chunk of the capital pre-strip winding off that you’ve still got a pretty significant mining fleet, so you literally just mining faster than you need to?
Lawrie Conway: Yes. So yes, as we are reducing our capital vise there moving into both operating and all were mining to cape the average grade up through the mill and we are stop piling the lower grade material.
Paul Hissey: Okay. All right. Thanks very much.
Operator: There are no further questions at this time. I would now hand back to the speakers.
Jake Klein: That was quick. Obviously everyone has got all the information they need in the quarterly. For those of you who have listened in really appreciated. I understand how busy you are. This quarterly has come around very quickly and I just want to acknowledge and recognize the work that has been done by Bryan and his team and really everyone at Evolution that the huge amount of work that goes into this in particularly with the MROR statements this quarter. So it really as appreciated and I trust to define in our communication very open. Thanks for joining.
Operator: That does conclude the conference for today. Thank you for your participation. You may now disconnect.